Operator: Good day everyone and welcome to the Titan Machinery Incorporated third quarter fiscal 2010 conference call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. John Mills with ICR. Please go ahead sir.
John Mills: Thank you. Good morning ladies and gentlemen and welcome to the Titan Machinery’s third quarter conference call. On the call today from the company are David Meyer, Chairman & Chief Executive Officer, Peter Christianson, President & Chief Financial Officer and Mark Kalvoda, Chief Accounting Officer. By now everyone should have access to the earnings release for the fiscal third quarter ending October 31, 2009 which went out this morning at approximately 7:00 am Eastern Time. If you have not received the release, it is available on the investor relations portion of Titan’s website at www.titanmachinery.com. This call is being webcast and a replay will be available on the company’s website as well. In addition, we are providing a slide presentation to accompany today’s prepared remarks. We suggest you access the presentation now, by going to Titan’s website and clicking on the Investor Relations tab and the presentation is directly below the webcast information in the middle of the page. Before we begin, we would like to remind everyone that the prepared remarks contain forward-looking statements and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance and therefore undue reliance should not be placed on them. These statements are based on current expectations of management and involve inherent risks and uncertainties including those identified in the risk factor section of Titan’s most recently filed 10K. These risk factors contain a more detailed discussion of the factors that could cause actual results to differ materially from those projected in the forward-looking statements. Titan assumes no obligation to update any forward-looking projections that may be made in today’s release or call. And with that, I would like to turn the call over to the company’s Chairman and CEO Mr. David Meyer. Go ahead David.
David Meyer: Thank you, John. Good morning everyone and welcome to our third quarter 2010 conference call. On today’s call, I will provide highlights of our third quarter results discuss some of the recent acquisitions and provide a general update on our business. Then Peter will review the financial results for the third quarter and first nine months of fiscal 2010 in more detail. I will then provide some closing remarks and then we’ll open up the call to take questions. As John mentioned, to help you follow today’s prepared remarks we provided a slide presentation which you can access on the Investor Relations portion of our website at www.titanmachinery.com. If you click on the Investor Relations tab on the right side of the page, you will see the presentation directly below the webcast in the middle of the page. I will pause for a few moments to allow you to access the presentation on your website. I am pleased to report a solid third quarter result for Titan Machinery. Turning to slide two we have an overview of the quarter. Revenues for the third quarter increased to $227 million up 6% from $214 million in the third quarter of last year, driven by acquisitions and partially offset by the challenging construction market as compared to last year. Our gross profit for the quarter was up approximately 6% to $39.6 million compared to a gross profit of $37.3 million in the comparable period last year. Our pretax income for the quarter was $9.7 million compared to the $13.9 million last year. We achieved earnings per diluted share of $0.32 in the third quarter compared to $0.45 per share last year. Peter will go into more detail about the quarterly results and same store comparisons, but I think it is important to keep in mind that we face very tough year-over-year comparisons for the quarter. Third quarter of fiscal 2009 was extremely strong as our third quarter 2009 revenue increased 62% over the third quarter of 2008. Our results in the prior year period reflect an unusually strong ag environment including record commodity prices. Also, it’s important to note that the decrease in pretax income reflects our increased concentration on construction stores and this year’s third quarter results which have generated lower sales and higher operating expenses due to the continued challenging construction market. Turning to slide three, you see our first nine month results. Revenue for the first nine months of fiscal 2010 increased 17% to $587 million compared to a $501 million in the first nine months of last year. Our gross profit for the first nine months of fiscal 2010 was a $104 million up 19% from $87 million in the prior year period. Our pretax income for the first nine months of fiscal 2010 was $21 million, diluted earnings per share for the first nine months of 2010 was $0.69 and $18 million weighted average diluted shares compared to $0.91 per diluted shares on $16.4 million shares in the prior year period. It is important to note that our weighted average share count increased approximately 10% compared to last year 2008 fall on offering. Slide four shows our updated annual guidance; we are raising our revenue range for the full year ending January 31, 2010. We now expect to achieve revenue in the range of $770 million to $800 million compared to the previous range of $750 million to $790 million. This increase is due to our continued strong ag business, which is partially offset by a continued weakness in construction. Turning to our earnings, we are narrowing our expected net income range from the previous range of $16.6 million to $18.7 million to a range of $16.6 million to $17.6 million. This narrows our earnings per diluted share range to $0.92 to $0.98 per share compared to our previous range of $0.92 to a $1.4. The net income range is based on strength in our ag business being offset by the lower results related to the overall challenging construction industry. We put our guidance in perspective, turn to slide five, which is a net income analysis for a five year time period. You can see that we experience an unusually strong year in fiscal 2009, as our business benefited from the record ag economy. Fiscal 2010 gains are aligned with our long term trend line joining the business through long term organic and acquired business unit growth. I would like to go over a few key factors that are important when evaluating our third quarter results and modeling our business. On slide six, the blue graph represents last year and the red graph represents the historical average. This chart demonstrates the seasonality of our earnings per share over the last couple of years. As we have said in the past, we measure our results on an annual as opposed to a quarterly basis, as revenue can shift from one quarter into another based on a number of factors including weather patterns. This year reflects some more traditional seasonality of our business, whereas last year we experienced an extremely strong third quarter as our third quarter of fiscal 2009 represented over 40% of our full year earnings per share. On slide seven, the map represents our construction equipment footprint. The orange states represent the fiscal year 2009 construction acquisition stores and yellow states represent our core locations. However, the current year’s depressed sales and the centers fee are having a negative impact to our revenue and operating expenses as a percent of revenue. In spite of these short-term challenges, you see these stores create a whole additional platform of goals for our company in the same contiguous geographic footprint, in which we are operating our agricultural stores. Keep in mind that the regions in which most of our CE stores are located are not dependent strictly on the housing sector. The influence of an infrastructure, energy, mining, agriculture and commercial goals in our markets have tampered the effects of the recession on our construction equipment business. Based on some positive indicators and locations we have near the Bakken formation which is one of the North America’s largest discovered oil deposits, we are cautiously optimistic that the construction industry will begin to improve over the next year. However, there will be some time until improvements in the industry are fully reflected in our results. While the current economic environment is temporarily affecting the business, we are confident that the construction equipment stores will be an important contributor to the goals of Titan machinery brand and our top and bottom line performance in the long term. On slide eight, you can see that the fiscal 2010 we have closed on six acquisitions and opened one new store. Let me now review our two most recent acquisitions, which combined generated approximately $27.3 million in revenue in our most recently completed fiscal years. These acquisitions closed in our fiscal fourth quarter, so they are not included in the third quarter results. First, we acquired Oskaloosa Implement Company, which consists of two Case IH brand agriculture equipment dealerships located in Pella and Oskaloosa, Iowa; and as the most recent fiscal year ended December 31, 2008, the two dealerships generated revenue over $16.8 million. It also pulls on the acquisition Valley Farm Equipment with one Case IH brand agriculture equipment dealership in Milbank, South Dakota, and as most recent fiscal year ended February 28, 2009, Valley Farm Equipment generated revenues of approximately $10.5 million. Also, these acquisitions are strong additions to our net worth; our team is continuing to do an excellent job of implementing our Titan operating model in these new stores. We have an excellent and long standing relationship with CNH, which continues to support our acquisition efforts. We look forward to continuing to capitalize on acquisition opportunities in the months ahead and further solidifying our position as the leading CNH dealership in North America. Now, I would like to spend a moment discussing the environment which we currently are operating. Turning to slide nine, I would like to reiterate that the ag equipment industry in the United States continues to be strong. It is important to note that the U.S farm cash receipts have trended upward over the 10 years, which has resulted in the current strength of the agricultural industry. In addition, revenue components of the current farm bill provide the customers with the ongoing stability through crop insurance and higher levels of revenue safety nets. As a result, farmers are continuing to invest in machinery either to purchase new or use equipment or to buy parts and service for their machines. We expect year end buying to be strong as both our ag and CE businesses stand the benefit from the $250,000 first year depreciation allowed for the purchases under Section 179 along with the expanded 50% bonus depreciation allowed in the American Recovery and Reinvestment Act of 2009. These are excellent incentives for our customers who purchase equipment in the current calendar year. Turning to slide 10, you can see some of the different options our customers have to receive financing. Our customers are typically not facing difficulty receiving credit when they decide to finance equipment. CNH capital continues to provide an array of attractive equipment finance and lease options. There are also several local and regional banks in our markets that we believe are very healthy and continue to provide capital for land operating expenses and equipment purchases to our growers. Another important player in ag financing is the National Farmer Credit System. With federally guaranteed funds, the National Farmer Credit System provides federally guaranteed funds to ensure a permanent source of reliable and competitive capital to the agricultural industry. In summary, as we look towards the last quarter of fiscal 2010 and end of fiscal 2011 we are confident that there is ample credit available for our customers to finance equipment. Overall, we are pleased with our business in the third quarter and first nine months of the year and are confident in our ability to continue delivering solid results in the remainder of fiscal 2010. With that I would like to turn the call over to Peter and review our financial results in more detail. Peter.
Peter Christianson: Thanks David. Turning to slide 11, our total revenue for the fiscal 2010 third quarter was $227 million. We experience increases in all three of our main revenue streams. Equipment sales increased 3.2%, part sales increased 10.6% and service sales increased 23%. As David mentioned, it’s important to note that our sales in the third quarter of last year were extremely strong and increased 62%. This created a very tough sales comparison for the third quarter of this year. On slide 12, our gross profit for the quarter increased to $39.6 million compared to gross profit of $37.3 million for the same period last year. Gross margins in the quarter were 17.4% compared to 17.5% in the third quarter a year ago. Even though gross margin in our parts and service businesses were up lower equipment margins due to tough comparison of the record environment last year accounted for the change. Our operating expenses as a percentage of net sales increased to 12.2% in the third quarter versus 10.8% in the third quarter of the prior year. This increase in operating expenses as a percent of revenue was primarily driven by the larger concentration of construction stores which experienced lower sales in the current quarter resulting in a lower fixed operating expense utilization as a percent of sales compared to the previous year. To give more color on our operating expenses, our CE operating expenses as a percent of revenue last year were 14.6% and our CE operating expenses for this year were 24.2% of revenue. Pretax income was $9.7 million or 4.3% of revenue, compared to $13.9 million of revenue in the third quarter of last year. The compression in our pretax margin was a result of the higher operating expenses just discussed and increased interest expense. The increase in interest expense was primarily driven by higher floor plan notes and an increase in our interest rate associated with those notes. Net income for the fiscal third quarter of 2010 was $5.7 million compared to net income of $8.2 million in the third quarter last year. Earnings per diluted share for fiscal third quarter 2010 were $0.32 compared to $0.45 per diluted share. Now, turning to our first nine months results; on Slide 13, our total revenue for the first nine months of fiscal 2010 increased to $586.5 million compared to $501.4 million in the first nine months of last year. Our revenue from the higher margin parts and service sales grew more than equipment revenue during the first nine months of fiscal 2010, demonstrating the stability of our reoccurring parts and service revenue. On Slide 14, gross profit in the first nine months of fiscal 2010 increased to a $104.1 million compared to $87.4 million last year. Gross margins improved 40 basis points, they grew to 17.8% compared to 17.4% in the first nine months of last year, reflecting the strong increase in our higher margin parts and service revenue, partially offset from our lower margin other revenue category. Gross profit from our recurring parts and service revenue contributed 54% of overall gross profit for the first nine months of fiscal 2009, compared to 48% in the first nine months of last year. Our operating expenses as a percent of net sales were 13.5% in the first nine months of fiscal 2010 versus 12.1% in the prior year period. Again, the increase in operating expenses as a percentage of revenue was in line with our expectations and was driven by the lower sales of the construction stores and the comparison is further impacted by higher sales in the first nine months of fiscal 2009 that resulted in improved fixed operating expense utilization, as a percent of sales in the first nine months of fiscal 2009. Pretax margin was 3.6% of revenue compared to 5.0% of revenue in the third quarter of last year. Earnings per diluted share for the first nine months of fiscal 2010 were $0.69 on approximately 18 million shares outstanding, compared to $0.91 per diluted share on approximately 16.4 million shares outstanding in the same period last year. The 9.8% increase in share comp was due to our May 2008 follow on offering. Slide 15 shows our same store sales results for the third quarter and first nine months of fiscal 2010. For the third quarter our same store sales decreased 5.7% in line with our expectations. On evaluating this comparison it is worth noting that our same store sales in the third quarter of fiscal 2009 increased 25.3%. Our current quarter’s results reflect to return to a more traditional business cycle. For the first nine months of fiscal 2010, our same store sales were essentially flat decreasing 0.3%. Based on the different margin levels of our revenue stream, we believe our same store gross profit is another useful measure for our business. For the third quarter our same store gross profit decreased 6.1% year-over-year to $34.6 million from $36.9 million in the third quarter of fiscal 2009. For the first nine months of fiscal 2010, same store gross profit increased 1.4% to $83.1 million from $82.0 million in the first nine months of fiscal 2009. For modeling purposes, it’s worth noting that 20 locations are not included in our third quarter same store analysis and 28 locations are not included in our first nine month same store sales analysis. We calculate same store sales by including stores that were with Titan for the entire period to which we are comparing. In other words, the only stores that were part of Titan for the entire three months of the third quarter of fiscal 2009 are the ones that are included in our third quarter same store comparison. Turning to Slide 16; this slide provides an update on our revenue modeling used for our fiscal 2010 revenue guidance. Last quarter, we updated our same store sales guidance for a 5% decrease for the year. Now, we expect our same store sales for the year to be approximately flat based on our year-to-date results of our stronger ag same store sales being offset by our construction store sales. We are raising our original fiscal 2010 revenue guidance of $750 million to $790 million to a range of $770 million to $800 million. Based on the expected improvement in same store sales, revenue and increased visibility into our annual expectations. On slide 17, we give an overview of our balance sheet highlights. We continue to have a very strong balance sheet with cash and cash equivalents of approximately $82 million or approximately $4.57 per share in cash to pursue future acquisitions and fund working capital and general corporate purposes. Last year’s extremely strong global ag equipment market reduced inventories to very low levels reflecting in our fiscal 2009 year end inventory levels. Our fiscal 2010 inventory is returning to historical stocking levels to support our forecasted sales. Our inventories totaled $357 million on October 31, 2009, compared to $348 million at the end of our second quarter and $243 million at the end of fiscal 2009. The increase in inventory is primarily the result of purchasing to meet the needs of our future equipment sales and support our market share goals. In addition, CNH continues to provide us with interest free floor plan financing on new equipment. In fiscal 2010, we are taking advantage of favorable inventory terms and our strong cash position to support our business plan and reach our market share goals. Working capital at the end of the third quarter of fiscal 2010 was a $156 million. Long-term debt including current maturities and advances was $33 million at the end of the third quarter of fiscal 2010. As of October 31, 2009, we had $97 million available of our $365 million total floor plan lines of credit. In addition, we have a loan agreement with Bremer National Bank, which provides for a $25 million revolving operating line, of which the entire $25 million is available. In summary, we continue to have a strong balance sheet enabling us to invest in our business and growth as we see fit. Slide 18 is an overview of our cash flow statement. When we evaluate our business we look at our cash flow related to inventory net a floor plan activity, which is reported on our statement of cash flow as both operating and financing activities. When considering floor plan our first nine months of fiscal 2010 net cash flow use for our seasonal increase in inventories is $11.2 million. This cyclical cash requirement illustrates the importance of our strong cash position on our balance sheet. On our statement of cash flow the GAAP reported net cash used for operating activities was $33.1 million, primarily due to our increase in inventory. We believe including the non-manufacture floor plan proceeds and the advances on contracts and transit as part of our operating cash flow, better reflects the net cash flow of our operations. Making these adjustments, the net cash provided by operating activities during the first nine months of fiscal 2010 was approximately $1.9 million, in line with our seasonal expectations. A reconciliation of this non-GAAP measure is contained in the slide show which is posted on our website. Now, I will turn the call back over to David for closing comments.
David Meyer: Thanks Peter. We are pleased that we were able to deliver top line goals and solid bottom line results in a challenging economy. We believe this is a testament for our strong Titan operating model. Over the course of last year we have made several key acquisitions and continue to develop a great brand and leadership position in our industry. We look forward to continue to deliver strong results and achieving our full year goals. Before we take your questions I would like to conclude by thanking our employees for all their hard work and thank our valued customers for their continued support. Operator, we are now ready for the question and answer period of the call.
Operator: (Operator Instructions) Your first question comes from Bob Evans - Craig-Hallum Capital.
Bob Evans - Craig-Hallum Capital: First, can you comment or give us a little bit more details as it relates to the construction versus ag business in Q3. Can you give us a sense either on a same store sales or general sales trends, perhaps how much ag was up versus construction being down?
Peter Christianson: Well, like we said in our call Bob, our first nine months of the year and even the third quarter we have had a good strong ag equipment business. The construction is in a challenging industry right now, and we are looking at thing being off like 35% on sales. So that’s what’s really driving this, like we talked about in the call, the under utilization of our expense structure, and so, that kind of gives a little bit of color for what we see happening, and on past calls we talked about a $.04 to $0.05 drag on our earnings from the construction side of our business and that $0.05 or maybe $0.06 in the third quarter holds true.
Bob Evans - Craig-Hallum Capital: Okay. So you are saying on a quarterly basis.
Peter Christianson: Yes.
Bob Evans - Craig-Hallum Capital: Okay. And the down 35% are you saying that same store sales or just kind of overall construction?
Peter Christianson: Well I’m speaking more to our business and by that what I mean is because we have such a high portion of our construction business based on stores that were acquired last year, it’s hard for us to only talk about same store. We have experienced more stable sales in our core stores that we showed you on the map and we have experienced less strength in our acquisition stores, but we really, today I just look at our equipment business as a total number looking at about 35% overall, but again our core stores have been operating better than our acquisition stores and we see that as an opportunity to improve on their financial results.
Bob Evans - Craig-Hallum Capital: Okay, so that 35% is kind of all construction stores regardless of when they were acquired.
Peter Christianson: Yes. To give you kind of some color on that of the break up, and you could see with our numbers coming in flat for the year that although our construction business really this year is going to come in at under 20% because of the compressed sales levels and our ag business is going to be up around 85% that the sales were up enough on the construction to kind of keep our whole business running on about a flat basis.
Bob Evans - Craig-Hallum Capital: Sure. Could you say what same store sales for ag would have been net of construction or ball park it?
Peter Christianson: We haven’t really figured, I guess I’m not really ready to comment on that. But I just wanted to give you some color to let you know that the construction business, when we looked at that was about 35%, and you know most of our acquisitions is Bob have been on the ag side of the business. So we have to factor the timing and the revenue contribution from them into our agricultural business.
Bob Evans - Craig-Hallum Capital: But it would be fair to say that the ag sales were positive for Q3 and for the year without construction.
Peter Christianson: Yes. We experienced a strong ag economy.
Bob Evans - Craig-Hallum Capital: Okay. And then can you talk a little bit more either Peter or Dave as it relates to the broader macro, talk about I guess the harvest which was late for the period to have come in well in your region, and I know you have a slide that talks about farming comes a lot of headlines and debate as it relates to farm income being down versus ‘08. But on a historical basis probably still pretty good. Just give us some thoughts in terms of how things are setting up at the end of the year here going into ‘10.
David Meyer: Well the harvest has been very slow, three-four weeks behind the whole time, they are doing things in November they should have been doing in October, and so that’s been where it’s been the whole year. But as the end result we are hearing some fairly good yield results. I mean I think for the most part most of the farmers are pretty happy, high percentage of the crop is put into the bins. We are seeing some resilience I think in some of the markets. I think soybeans have been holding really well on the pricing and stuff. So, I think the whole macro economy is pretty good. In some areas we are hearing actual record crops. I mean if you look at some of our stores in western Iowa, some in Nebraska, you are just hearing some really highly above average yields out there. So, overall, I think it was a very challenging year from the beginning of the prime season all through the end. These growers they have really persevered and really put some exclamation point on the importance of having late model reliable equipment because there are some really challenging situations out there combing the margin and the frozen stall from the snow and the cold weather, and growers of good equipments and have the resources. They have got, the crop often have been in great shape, and overall I think also our markets, I think right now most guys are sitting in the back, taking the deep breath and are pretty happy from what they are seeing.
Bob Evans - Craig-Hallum Capital: Okay. How is that setting up for kind of current equipment sales trends and going into ‘10?
David Meyer: Well, we are going to give more comment on ‘10 and when we give our fourth quarter call and give guidance for the next year. But like I said before this need for equipment and your ability to get the crop in and off a timely basis really makes the importance and the value of these equipment dealerships to these growers out there and the need for rate model reliable productive equipment.
Operator: Your next question comes from Rick Nelson - Stephens Investment Research.
Rick Nelson - Stephens Investment Research: Can you tell us what is your revenue forecast, assumes about same store growth in the fourth quarter, and maybe if we could take a look at the ag sides and the construction sides separately?
Peter Christianson: We aren’t breaking out the ag in the construction of the same store sales. But really in order to make this come out where we are looking at the year right now, year-to-date we are looking at same stores sales change of negative 0.3 for the first nine months, and it’s going to be in that 5% to 8% range for same store sales in the fourth quarter.
Rick Nelson - Stephens Investment Research: That’s down 5% to 8% Peter.
Peter Christianson: That will be up.
Rick Nelson - Stephens Investment Research: Up 5% to 8%.
Peter Christianson: And I would say that based on our modeling that’s going to bring results for the 12 months being at about flat and when you talk about difference between ag business and the construction business, what we have seen for the year so far like I was mentioning earlier on the calls about a 35% down on our overall construction business with that being stronger compressed on the acquisition stores versus the stores that were our core stores. So it wouldn’t be that strong on our same store analysis.
Rick Nelson - Stephens Investment Research: All the construction stores are not in same stores, is that right?
Peter Christianson: That’s correct Rick. The stores which are not in the same, we will not have any of the Iowa; Nebraska stores included for our 12 months same store sales. They are included on our quarterly one this quarter because they came on board during part way through the second quarter of last year, and the stores for Wyoming and Montana came on board on December 31, so they will not be included in our same store analysis for the 12 months same store for fiscal 2010 at all. They will start being included for next year.
Rick Nelson - Stephens Investment Research: Thank you for that color. Can you also comment on inventory growth, calculating 51% year-over-year compared to the mid point of our revenue guidance looks like 5% revenue growth.
Peter Christianson: Well, couple of things on that Rick. First of all, when we look at our business from a historical perspective, last year with our global demand our inventory turns were up measurably and the inventory levels nationally and for us at Titan we are at record loss. The pipeline was essentially empty because of the global demand on the equipment and we are seeing that channel coming back to being more of a traditional stocking level, and if you look at our overall business growth for the first nine months it’s about 17%. And so a portion of that inventory growth is just tied to our business being larger by 17%. Portion of it is just taking us back within the bandwidth of what we look at as a historical inventory stocking level. And finally, there is a portion of that growth that is relative to our acquisitions. We have done six acquisitions and one new store opening. So taking collectively that gives you what our growth ism and we see that, so that it will support, it’s critically important for us to keep increasing and improving our market share. One of the ways we do that is we have this equipment available, a great example of that was this fall now when we had abnormal harvest conditions, they were very tough harvest conditions and we did have situations where people looked at their situation and on their production on their farm and they made a decision on the spot that said, you got this machine ready, I will take it. And so, we feel comfortable with our inventory we are monitoring it and we incentivize our, all of our field marketers are strong on getting their market share goals and also on us managing that inventories so that we can keep it as efficient of a turn as possible.
Rick Nelson - Stephens Investment Research: Then that margin pressures that we see in the equipment segment, is that on the ag side as well as on the construction side, what is driving that new or used?
Peter Christianson: I would say that the number one driver on the margin compression is primarily, the compression is on a comparative basis to the prior year and last year we had an extremely strong market, and the way that we have our compensation for all of our field marketers they will maximize their margins and we were able to capitalize on that really strong market with a strong demand. So, basically we had really strong margins last year, and when we look at this year and we do a comp compared to last year that’s really what’s weighing in on this Rick. And we do have a compression, some compression on our margins in the construction market just due to the fact that that’s in a challenging environment.
Rick Nelson - Stephens Investment Research: Any commentary on the acquisition pipeline, do you intend to stay in contiguous markets and where you see pricing and maybe pricing on the most recent acquisitions, any changes there.
David Meyer: First of all, we like this upper mid west as contiguous market, currently is in our foot print and there is a very robust pipeline of continued acquisition opportunities in this upper Midwest footprint. So that’s where we are focusing on right now. We continue to have discipline in our acquisition pricing; I don’t think you are going to see much deviation at all in the pricing from what we have done over the several years. So that still remains in line. One thing I have noted here too, we do have a 15% capital gain tax currently this year and into next year. Nothing that happens at all with legislation, that’s going to go up to 20%. So, that’s weighing pretty heavily on a lot of these sellers. So, I think there are some timing involved here and some of these acquisitions is robust pipeline. Many of these dealers are having a good year this year financially, and but we have got these demographics of age or lack of succession and the increased amount of sophistication still continuing to drive this pipeline, and we are very busy managing all these acquisition candidates right now.
Operator: Your next question comes from Paul Mammola - Sidoti & Company
Paul Mammola - Sidoti & Company: Given the late harvest you talked about Dave, did you see the spill over of some parts in service revenue into November is that fair to say
David Meyer: There is two kinds of parts and service business we took. When the growers are in the field, they break down, and then we are all doing the parts and service business. So we are pretty much at their call, and when there is down time, we were 7x24 keeping them up in the field, and so that extended that period of time into November. Then what we have been very successful at our stores is what we call as our off season uptime maintenance program, where we do some pretty sophisticated inspections on tractors and commons, we are bringing them in and give recommendations for further repair. So that business is going to be delayed and put on there, so you see a lot of your maintenance, your preventative maintenance, a lot of our repairs, and combines, you are looking at a lot of your wear items get replaced, and that off season maintenance program. So, what we did was a little bit longer period of time where we have in the field repairs that went longer, but then our off season maintenance are going to start later. So the end result is not a measurable change from what we are going to see normally.
Paul Mammola - Sidoti & Company: Okay, fair enough. I guess what are your thoughts on expanding overall profitability of parts and service are there other ways to expand that business in your eyes right now?
David Meyer: Well, we are continuing efforts on the service department to increase efficiencies, productivity. We are measuring all of our tax on efficiencies, and they are compensated and incentivised on that. So we continue to watch out, we continue to make sure the billable hours that we are getting into the shops. From the marketing standpoint, like I say these uptime inspection programs have been a real bell ringer for us. This pursuit in farming, this whole segment here where you have got the GPS equipment that’s steering the equipment in your precision farming, that’s a big plus to your after sales product support. As we increased our market share, the machine population is going to give you a higher part, which is going to increase your products and service business in all of your stores. So we have increased market share level that’s driving that business. We continued on the part side of the business be creative with our marketing, the promotions, the cross selling, we have got a lot of things going. We’ve got some really sharp people that are driving this business at all of our stores. So, yes, that’s a continued effort and I think we are good at that. If you look at our past, I think that’s something they are hanging their head out and we did a good job and the satisfaction that we have with our customers stemming from our really solid products and service departments in all our stores.
Paul Mammola - Sidoti & Company: Okay, great. And then, Peter, there is a higher sales number for rental or the other category in the quarter but lower margin, is that just rates are down I would assume.
Peter Christianson: Yes. We have improved that as our, as this fiscal year is going on we have been resizing our rental fleet and that was primarily in the acquisition stores on the construction side of the business. That other revenue category that’s primarily made up of our rental revenue and with our expansion into those four states last year, we inherited the rental fleets that they had on hand and what we have been doing then is we have been incorporating them into our operating model and resizing that fleet so that we can get the proper utilization. So we have seen improvement on that as the years been going along.
Paul Mammola - Sidoti & Company: Okay. And then finally on the floor plan financing. Is 70% of that still non-interest bearing?
Peter Christianson: Not quite, it’s just about that much, it’s probably around 67%, about two thirds of it is new equipment and one third is used equipment.
Operator: Your next question comes from Brent Rystrom - Feltl & Company.
Brent Rystrom - Feltl & Company: A couple of quick questions for you; you had just mentioned that on the inventory break down, is that the primary driver of the change in the floor plan interest financing?
Peter Christianson: Its two things Brent. It’s both the amount of inventory that we have on interest bearing and it’s also change in the rates.
Brent Rystrom - Feltl & Company: Okay. And how did the rate change if you can characterize that?
Peter Christianson: The rates went up and they changed from a year ago. They have gone from, overall blended rates of about 5.2% to 6-6.8% this year. That’s kind of in line with the fact that we re-uped our floor plan lines and that’s a blended rate.
Brent Rystrom - Feltl & Company: Okay. I talked about ag star in Bremer this week, and not regards to your credit. But just talking to them relative to the farm credits, and both start at Bremer are telling me that they are pulling back credit for both land and machinery. Is that something that CNH in your opinion can pick up as other vendors pull back?
David Meyer: Well I think what we are seeing out there, if you take these growers in the upper Midwest, these top level, these growers are probably, 20% of these growers are probably growing 80% of that crops in production agriculture, visiting with these farmers and visiting with the lenders myself, there is actually a lot of competition between the lenders to get their business. Between the farm credit boys, the local banks, the regional banks, and CNH capital, I mean CNH capital will not turn down a loan to these people, but actually the rest of these bankers actually fighting for the business. Their balance sheets are in great shape. So, even though you might be seeing some of the pull back, I think the growers in our markets and the ones with these balance sheets and the ones that have exhibited over the last period of time their ability to pay down debt and they have excellent credit rating, like I say, there is a lot of competition to get their business and they are seeing good reason, they are seeing a lot of people really going after them for their financing business.
Brent Rystrom - Feltl & Company: Okay, looking at milk prices getting back up to about $15 per 100 weight, I know your kind of your Central Minnesota, some of your eastern particularly South Dakota stores benefit from the diary business. Are you seeing something positive coming out that milk equilibrium getting kind of that break even?
David Meyer: The diary is not a big part of our business in our market; it’s a very small part. And anything they can help, our industry anyways is going to be positive. But milk prices in diary is just a real minimal part of our business. Like I say the majority of our business, our large and our real crop tractors is affected from cash crop production agriculture.
Brent Rystrom - Feltl & Company: Okay, and then you had mentioned that Iowa and Nebraska seen record deals record crops. As a percentage of year sales how much your sales come out of Iowa and Nebraska on the ag side?
Peter Christianson: We don’t break that out that way, and that was just an example where we are seeing above average yields up in North Dakota, South Dakota, across our entire foot print. There are a good above average yields on corn and bean crops throughout our foot print.
Brent Rystrom - Feltl & Company: Okay. From a test way perspective, I’m hearing the test weights have been real poor, any thoughts on that as far as the yield and how the test weights were poor?
Peter Christianson: Yes. The earlier test weights were poor. The corn was, it typically will have a lower test weight. But as the harvest has been delayed and the crop has had some time to natural dry those test weights have been improving right along, and the moisture content that the crop has been coming down, which both of those are good positives for our end users. In addition to that a lot of them when they take the crop up, as they will dry it or whatever, if you natural dry it, that will also improve your test weight.
Brent Rystrom - Feltl & Company: Okay. Any comments on comps in the first half of next year? I would assume it’s like to be a positive comp first quarter maybe a negative comp second, maybe even third quarter?
Peter Christianson: We will be giving our outlook on our next call, and then we will have better visibility into how that looks and we look at our business on an annual production cycle, like our customers, and we are going to give you an update on that with our next call.
Brent Rystrom - Feltl & Company: Okay. EPS, any update on that for next year.
Peter Christianson: Like I just said…
Brent Rystrom - Feltl & Company: No color for next year.
Peter Christianson: We give a lot of our guidance on our outlook on our fourth quarter earnings call. Then we will have good visibility and we will be happy to share that with you and give you some color on that one, when we do that call.
Operator: Your next question comes from George Gasper - Gaspar Report.
George Gaspar - Gaspar Report: I’m going to ask you some questions on the construction side of the business. Can you horn in on the number of store distribution centers that would distribute to oil patch activity. And what level of total construction revenue, can you give us some thought process on that, is generated from oil patch activity?
Peter Christianson: We haven’t been breaking it out specifically. Where we break it out dedicated to like the oil or energy industry versus the mining industry and we haven’t broken on our revenue that way. But we do have several stores over in an around the Bakken formation. We just did a new store opening in Minot, North Dakota. We are getting activity from that over and Bismarck. Rapid City does have some of that and billings and so there is just a lot of activity relative to the oil industry and we see that as hardly being one of the first thing that’s turning for us relative to our construction business.
Operator: Your next question comes from Robert Mccarthy - Robert W. Baird & Co.
Robert Mccarthy - Robert W. Baird & Co.: Maybe I missed this, maybe I’m just a little slow, but why did you lower your forecast for net income for the year.
Peter Christianson: Our forecast, really what we did is we narrowed our range, we are still within our original range that we gave you and really when you look at our nine month results and you see how this is tracking kind of the take away on it is that is our revenues are coming in a little stronger than we thought, we revised that on our same stores sales now. So that we are coming in flat versus an original modeling at 10% down, that’s reflective of our strong ag equipment business. At the same time we have had a pull or a drag on our earnings coming out of the construction business that we are in and that primarily just being driven around the lack of sales, they are experiencing like 35% off on the sales which is industry wide you see a lot of reports where they are talking 50% to 60% down. Our foot print we are not experiencing that strong of a down turn but based on those two things we felt comfortable in narrowing that range for you and at the same time in line with what happened for the first nine months we felt like we would raise our revenue guidance.
Robert Mccarthy - Robert W. Baird & Co.: I’m still confused here. I mean the construction business is the less profitable business for you. Your outlook for that business has weakened. I mean I hear you saying that business is turning out a little weaker than you expected. Yet you are expecting, the upside potential that you saw and profitability is not there. So, I mean is it the profitability of the construction stores is so weak because of the sales levels being below expectations that it’s overcoming, what I would expect to be a positive effect of shifting more mix to ag.
Peter Christianson: I guess what I would say is that we have the results in front for first nine months Rob, and looking at where we are at with our nine month results in and seeing at how our revenues are coming in versus what our earnings are on those revenues, I think that’s reflective of a strong ag business and that’s been offset by this challenging industry that we are in on the construction and we have a bigger exposure to that. We feel good about our construction stores and when we show you that slide with our construction equipment foot print, we feel like we put together a material market for us long term and as that industry turns we are going to capitalize on it. But going back to your question when we look at where we are with our ag business and what we are doing through the first nine months we felt comfortable in raising our guidance the way we did on our revenue and narrowing the range for you within our original range but narrowing it on our earnings to just give you a better visibility and how we see the year coming out.
Robert Mccarthy - Robert W. Baird & Co.: Okay. Can you talk a little bit about, you were helpful with your chart on seasonality and understanding that this year is a little more normal relative to past years. But within in, I mean expecting that situation and the programs that you are in last year et cetera, what’s happening to the equipment deliveries because of the late harvest, did it cause people to postpone taking delivery of equipment or did it or was the effect more that it created more business for you, I’m not, in other words, have we shifted some revenue out of the third quarter into the fourth.
Peter Christianson: Rob, when we look at it today, of course until we are done with our fourth quarter we will have full visibility on all the effects. To-date what we have seen is that we were, we came in with our third quarter right in line with what our expectations were. And so it would appear as though no measurable change from one to the other. When we look at that slide that shows you the red bars on the graph kind of more of a historical seasonality split, this quarter fell right in line with that, and arguably you could say with the harvest that delay that people making a lot of their equipment purchases but at the same time with delayed harvest some of the customers were looking at that and saying, I better invest now and get that extra machine in the field, so that I can take this crop off. And so, today with the visibility that we have we are not seeing a measurable change.
Robert Mccarthy - Robert W. Baird & Co.: Okay. So we don’t think the late harvest influenced overall whether people took deliveries in the third quarter or the fourth quarter.
Peter Christianson: It doesn’t appear that way.
Robert Mccarthy - Robert W. Baird & Co.: Okay, that’s interesting. But it should, I would think help you incrementally a little bit on the parts and service side in the fourth quarter, shouldn’t it?
Peter Christianson: Well, David spoke to that earlier and we are watching that and we are going to gain visibility into the quarter unfolds here. But it is important to remember that historically we are going back 10 years ago it used to be that these equipment stores when it was either in the spring season or in the fall harvest season, we were way overly booked for our service in parts departments. But what we have migrated to which has been extremely successful for our end users is we have migrated to these preventative maintenance programs and one of the things that those do, not only are they good for our customers, but what they really do is they allow us to optimize our parts and service business in the off season so that we can schedule all that preventative maintenance and we schedule that so that we can double load our workload in our service departments. So, as soon as they are done with the harvest let’s say the harvest would get done in October, as soon as they are done with the harvest we are bringing these machines in immediately and we are starting in on our maintenance specials, our preventative special and we stay busy with that all throughout the off season. So, we are not knowing that there is a measurable change.
Robert Mccarthy - Robert W. Baird & Co.: That’s a great strategy, but are you saying that you don’t think the late harvest has any influence on your parts and service business?
David Meyer: Right now we are still gaining visibility because they are still finishing the harvest, but we don’t see a measurable shifting right now.
Robert Mccarthy - Robert W. Baird & Co.: Nor any kind of increased demand.
Peter Christianson: The way that we’ll be able to measure the increased demand is once we have all the numbers in for the fourth quarter to see what the total annual numbers came in at and that’s why we look at it on an annual basis. Until we gain the visibility on this quarter it’s hard to make a definitive answer for that question, but right now it appears that our workloads in our service departments and our parts departments are going along pretty steady as we anticipated when we put together our annual plan and put that into our annual guidance.
Robert Mccarthy - Robert W. Baird & Co.: Okay, earlier on the call you talked about average interest rate going from 5.2 to 6.8, is that as a weighted average, is that a weighted average calculated on the total credit availability or is that an average that was calculated on what you had outstanding at the end of the quarter?
Mark Kalvoda: Yes, this is Mark, Rob. That’s a simple average over the course of the quarter. This quarter of fiscal 2010 compared to 2009.
Robert Mccarthy - Robert W. Baird & Co.: Oh I see. And, am I not correct in that your floor plan rate increased for the quarter from CNH?
Mark Kalvoda: Yes, that’s correct.
Robert Mccarthy - Robert W. Baird & Co.: And so, that would suggest that it’s not fully incorporated into 6.8% average?
Mark Kalvoda: Well, it is the rate changed for us, towards the beginning of the, yes, September 1, toward the beginning of the quarter, we do see some opportunity with some other borrowings as well, where we can keep that rate relatively stable going forward.
Robert Mccarthy - Robert W. Baird & Co.: Well that’s great, okay, now, we’ve talked about availability of credit to the farmer, but, related question, as the cost of the credit to the farmer, gone up by would you guess, I mean, would you estimate roughly a comparable amount, couple of percentage points?
David Meyer: No I think right now the retail credit seems to be still very competitive and we haven’t seen a big deviation in rates on from the retail side of business, but as you are aware being in this industry for so long, floor plan credit rates right now is probably the most undesirable type of financing for your banks, may be the renting people out there and that’s right now, we are seeing the highest rates on floor plan finance, I think in most of the capital markets Rob.
Robert Mccarthy - Robert W. Baird & Co.: Yes. Right and you talked about the idea of inventory being up to serving larger footprint, the larger business, but within that, I noticed that your used equipment has almost doubled since the beginning of the year. Now, granted the base that you are measuring something against, influences calculations like that, but forgive me, it does seem like a significant expansion in used equipment inventories, your new equipment inventories came down a little bit in the quarter, would you tend to support the, explanation you were talking about last quarter that you needed to have the inventory’s satisfied demand, but can you talk about, the fairly dramatic road since the beginning of the year in used equipment and very, are you happy with this year and what you intend to try to do about it.
Peter Christianson: Yes, what we see is the real typical cycle at our sales cycle of our business and what we did is, we return to our historical stocking levels and throughout the year, because of the availability of equipment from our manufacture and very expected is that, as we push the new inventory through the sales cycle that then turns into use, which is very standard this time of the year and then we are looking at moving that use through the channel before or up to next year’s planting season. So lots of these customers, even though they are buying throughout the year, and now we are kind of like when they get the harvest done. And, so what we will do is we had our new go down and we have our used in line so that we will be able to put that through our system and we aggressively market that used equipment.
Robert Mccarthy - Robert W. Baird & Co.: So, we should expect to see that number come down at the end of the coming quarter.
Peter Christianson: We don’t get that specific on it because of the fact we look at our business more typically on an annual cycle. And, what we need to look at is how we are going to manage our overall inventory, and the split between the new and used is really driven by where we are at on a timing of the sales cycle. So, if the new is going faster then the use will go up, if the new is not going as fast then the use will come down. It’s all the timing throughout our annual, we call it our annual all good management cycle and we don’t have the visibility a 100% to say definitively if it would go up or down at the end, but we look at our overall inventory levels and then within that overall parameter we need to look at our timing and our whole good cycle to see if our new is down and our use is up or if our new is up and our use is down.
Robert Mccarthy - Robert W. Baird & Co.: So, if used equipment inventories increase further in the fourth quarter you won’t be surprised nor we would be unhappy.
Peter Christianson: Correct. I look at our overall inventory levels.
David Meyer: Just to add a little more color on this too is, we are seeing on a lot of these late model tractors, there is still really a strong demand and some shortages in a lot of models. And those and Case IH or CNH, you know, what they did, they shipped some of their marketing dollars throughout this last quarter and they take up to two years interest free financing on used. So they are really stepping up to the play and they understand they are not going to sell any more new equipment when dealers have used equipment. So, they pretty much made their commitment to their dealer organization and they are going to provide marketing tools and financing to make sure that these used equipment gets cleared out of lot. So, we think we are in line with the manufacturer and like I said, there are some real good demand for certain models of these late model used equipment.
Robert Mccarthy - Robert W. Baird & Co.: Thanks for the color David. That’s very helpful. Would you guess on average that used ag equipment prices are up or down?
David Meyer: I would say they are probably pretty flat. But we have seen some strengthening in some of them and there was a very large auction sale that just happened down in South Dakota here last week and a lot of these used probably was off the chart, I mean it was really a strong sale. But I would say it’s basically flat.
Robert Mccarthy - Robert W. Baird & Co.: Okay. I’m sorry one more question, simply because we get this question from a lot of investors. As you have seen pressure on, the ability to grow the equipment business, let’s assume that that gets extended into next year. Let’s assume that farmers buy less in the equipment and the construction cycle doesn’t turn. Do you have the ability or the intention to accelerate your acquisition activity to sort of 2010 was a little bit of a pile, would you try to accelerate what you are doing on the acquisition front to try to help cover that or are you committed to maintaining only the steady pace that you have kind of been working on?
David Meyer: Well, I think, to comment a little bit on this acquisition, we are a growing company, a lot of our growth is coming through acquisition. So let’s just go back to last year, and look here we had record profits, record income, very strong economy and what do we do, we did almost $200 million of revenues through acquisitions. We got doubled or what we forecast doing acquisitions in a really strong economy. So, we are going to continue look at acquisitions, but I will guarantee you one thing. If we see a softening of this or equipment business, we are going to have acquisitions coming up like breaking off a fire hole. So, this is basically the environment out there, and the position and the age of lot of these right now, if their business is tightening a little bit we are going to have extreme number of acquisitions coming out as well. So, I think it will be kind of a little bit of a self correcting thing out there right now, and like I said we continue to be very aggressive on acquisitions and we are networking or talking to a lot of people, we are laying on the trap way all in a lot of different markets, and we are working with a lot of fellows. So, we are just going to do acquisitions regardless of the environment of economy, and like I say last year is a pretty good evidence of that. We continue to do that, but there is going to be more and more opportunities of acquisitions if this thing tightens up a little bit.
Operator: At this time I would like to turn the conference back over to Mr. David Meyer for any additional or closing remarks.
David Meyer: Okay. I want to thank you all for listening to our call today, I wish you all a happy and healthy holiday season, and look forward to the discussion of our year end results with you in April. Good-bye.
Operator: Thank you, sir. That does conclude today’s teleconference. We thank you all for your participation.